Operator: Greetings, and welcome to the Vertex Energy, Incorporated First Quarter 2012 Financial Results. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Ben Cowart, Chairman and CEO. Thank you. Please go ahead. 
Benjamin Cowart: Thank you, operator. Joining me today on the call is Mr. Chris Carlson, our Chief Financial Officer; Mr. Matt Lieb, our Chief Operating Officer; and Marlon Nurse, our Investor Relations Consultant at Porter, LeVay & Rose, here in New York.
 Before we begin the business portion of this call and on behalf of the company, I would like to inform you that the company expects to make forward-looking statements during today's call. Statements include words such as believe, anticipate or expect, and statements in the future tense are forward-looking statements. These statements involve known and unknown risks and uncertainties and are based on management's current views and assumptions regarding future events and operating performance. A number of factors could cause the company's actual future results to differ materially from its current expectations.
 Thank you, everyone, for joining us on the Q1 2012 earnings call for Vertex Energy. This call coincides with today's filings of our 10-Q for the quarter ending March 31, 2012. I want to start off by giving you a few highlights for Q1 of this year, and then we'll turn the call over to Chris Carlson, our CFO, so that he can walk you through the first quarter 2012 financial performance.
 Following Chris' presentation, I'll provide some thoughts on our plans for the remainder of 2012, and we'll make some closing remarks. We will then open the line for questions.
 Q1 2012 was a strong quarter for the company building on the performance we demonstrated in fiscal year 2011. Here are few highlights that we will touch on in more detail during this call.
 We grew our revenue by 71% in Q1 2012 compared to the first quarter of 2011. Consolidated revenue was $34.8 million for the quarter. We increased gross profit dollars for the quarter by 27% over the same quarter last year to $2.89 million.
 Gross profit is an important matrix for us because it helps us understand how we are performing as a business while minimizing the impact of commodity prices. Overall sales volume, also an important matrix for our business, as it illustrates our reach into the market, it increased by 36% for Q1 2012 versus Q1 2011. This increase in sales volume is largely a result of continued throughput improvements at TCEP, combined with our increased stability to source feedstock to support the process.
 Our overall per-barrel margin in the first quarter of this year decreased by 7% relative to Q1 2011. This decrease in per-barrel margin is primarily a result from this growth that I just spoke about, mainly related to our TCEP volume. As we seek to acquire increased amounts of used oil for the process, the cost of the used oil and the expense related to transporting it to our Baytown facility increases as well. We generated positive net income for the first quarter of $1.57 million, a 32% increase over our Q1 2011 net income.
 Before discussing our outlook for the remainder of 2012, I'd -- first, I'd like to turn the call over to our CFO, Chris Carlson, for a more detailed review of our financial performance in the first quarter of this year. Chris? 
Christopher Carlson: Thank you, Ben. For more information, please refer to our press release issued today, our latest Form 10-Q for the fiscal quarter ending March 31, 2012 as well as our other filings made with the Securities and Exchange Commission. I also want to mention, before we proceed, that all financial numbers are prepared unless noted in accordance with Generally Accepted Accounting Principles.
 I'd like to now discuss our results. For the quarter ended March 31, 2012, we reported consolidated revenue of $34.8 million compared to $20.3 million in Q1 2011. This represents a 71% revenue increase. The revenue increase was due primarily to increased commodity prices as well as the 36% increase in overall sales volume that Ben mentioned in his opening remarks. You can find more detailed information on the various pricing benchmarks that are most applicable to our business in our 10-Q that was filed today.
 Our Black Oil Division revenue for Q1 2012 was $8.6 million as compared to $4.4 million in the first quarter of 2011, an increase to roughly 95%. The Refining & Marketing division, which includes TCEP, produced revenue of $26.2 million in the first quarter of this year versus $15.9 million in the same period last year. This represented an increase over the prior year of over 65%. This increase is a result of greater TCEP production, increased commodity prices and greater production in the non-TCEP portions of the Refining & Marketing division. TCEP, which again, is a business unit within our Refining & Marketing division, generated $15.56 million in revenue for Q1 2012 versus $8.5 million in Q1 2011. This 83% year-over-year increase was driven by substantial production increases as well as higher commodity prices.
 As these figures indicate, TCEP continues to grow in its importance for our business. Gross profit increased in the first quarter of 2012 to $2.89 million compared to $2.27 million during the same period last year. This 27% increase is primarily attributed to the improved margins of the Refining & Marketing division's TCEP operations. Overall, the per-barrel gross margin on a company-wide basis decreased by 7% for the quarter compared to the first quarter of 2011. As Ben mentioned previously, this decrease in per-barrel margin is primarily a result of increased transportation and logistics costs related to sourcing and moving greater amounts of used oil to our Baytown, Texas TCEP facility.
 Gross profit for the Black Oil Division was just over $760,000 for the quarter, an 87% increase over last year's first quarter gross profit of approximately $408,000.
 The Refining & Marketing division, as a whole, generated gross profit of $2.12 million in Q1 2012, a 14% increase over 2011's Q1 gross profit of $1.86 million. TCEP had a gross profit of just over $1.03 million in Q1 2012, a 112% increase over first quarter 2011's TCEP gross margin of approximately $486,000. Selling, general and administrative expenses increased by 16% in the first quarter of 2012 relative to Q1 2011. Our Q1 2012 SG&A expense was $1.19 million versus $1.03 million for Q1 2011. Though SG&A increased, which was expected, given the growth of the business, SG&A as a percent of revenue decreased from 5.1% in last year's first quarter to 3.4% of revenue in this year's first quarter.
 We had net income of roughly $1.57 million, or $0.10 per fully diluted share, in Q1 2012. This was a 32% increase over 2011's first quarter net income of roughly $1.2 million, which represented a per fully diluted share figure of $0.09.
 I'd like to turn the call back over to Ben Cowart. 
Benjamin Cowart: All right, thank you, Chris. As the numbers Chris presented illustrate, the first quarter of this year represented a meaningful improvement over the same period last year. As we look ahead through the remainder of 2012, I want to share some of our thoughts on where the business is headed.
 I want to remind our listeners that TCEP, which was developed in July of 2009, is a process that was built from the ground up. We've come a long way with this technology, and we are continuing to improve the performance of the Baytown, Texas facility as it relates to increasing volume, improving quality and reducing operating costs. We have also begun the process of developing necessary engineering work that will enable us to build additional TCEP facilities in the future. At the current time, it is our belief that implementing incremental improvements at the existing facility offers a better return on investment for the company versus building another facility.
 We expect our overall volume to continue to grow during the remainder of 2012 as we expand our reach of our Black Oil Division and continue to implement capacity improvements at our TCEP facility. We expect a portion of this growth to come from efforts in sourcing more oil at our California location as well as our aggregation operation in Mobile, Alabama. We are evaluating other ways for us to capitalize on our competitive advantage in aggregating used oil and other hydrocarbon feedstocks to include analyzing additional re-refining technologies that may be applicable to our business. More specifically, we are actively studying methods, by which we can upgrade our TCEP finished product to be used in engine oil applications.
 M&A activity has increased significantly in our sector, and we're looking to be a part of that activity. To that end, a subcommittee of our board of directors is actively evaluating a potential acquisition of Vertex Holdings, a privately held related business that would allow us to further vertically integrate within the used oil market.
 On April 16, all of our preferred stock and substantial amounts of common stock became unlocked. These shares were originally locked up as part of the process related to the World Waste Technologies-Vertex merger. As a result of this unlocking, we have seen an increase in our flow since April 16, unlocking date. As the second quarter of 2012 progresses, we feel we are continuing to generate positive results, and look forward to keeping you updated as the business moves forward in 2012.
 Before we move onto the question-and-answer portion of this call, I want the listeners to know that if you have any follow-up questions, 
 [Audio Gap] 
 our Porter, LeVay and Rose Investor Relations Representative, Marlon Nurse, at (212) 564-4700.
 I also want to mention that a digital replay will be available by telephone, approximately 2 hours after the call's completion, for the next 2 weeks. Details on how to access the replay can be found in our recent press releases.
 Operator, we are now ready to take a limited number of questions pertaining to the matters discussed on this call and our 10-K.
 Remember, we're unable to discuss any information or business plans, which are not publicly available. In addition, because we have a registration statement on file with the SEC, we cannot discuss the registration statement at this time. Please note that this statement does not constitute an offer of any securities for sale. 
Operator: [Operator Instructions] Our first question comes from Sandy Wyman with Gilford Securities. 
Sandy Wyman: Could you just give me an idea of the number of shares that became available from that unlock of the preferred stock, what the conversion price is and sort of what you think is for sale? Obviously, there has been some for sale, considering the good news that's out there that seems to be sitting on top of the stock? 
Christopher Carlson: Good question, Sandy. There's just over 4 million shares of preferred A that were unlocked. And the strike price or the trade price is 1 for 1, so they convert directly into common, 1 preferred A to 1 common stock. There was also a certain amount of prior company World Waste insiders that were locked up with common stock that's right around 500,000 shares. So the total is about 4.5 million, 4.6 million. In addition, current management does have shares that were under lockup. 
Operator: [Operator Instructions] Our first question comes from Sean Marconi. 
Sean Marconi: I'm just curious, could you give any additional color on the related party transaction with Vertex Holdings and how that's moving along? I'm just trying to get a better idea of what -- if this transaction happens, what would that mean for the company in regards to revenues and also what would that mean in regards to gross margin percentage for the company moving forward? 
Benjamin Cowart: Yes, really good question, Sean. Unfortunately, there's really not a lot that we can report on that subject other than what's been disclosed and that's really that our board has formed a committee to start this evaluation process and see where we can go with that. We’re not at liberty to dive off into any more detail around that subject. 
Sean Marconi: Can you also shed some light on the advantageous market conditions and how that's really affecting your business just to give the investors a better idea of what changes you've seen over the past year? 
Benjamin Cowart: Yes, that's a very good question, and I would say that the market conditions are very favorable for the company. They have been for the last 2 to 3 years. What really continues to help us move the business forward is our ability to expand our volume that's coming into the company as well as being sold back out. So you've seen our year-over-year volume growth is around 36%. So we're able to reach this new volume because the market continues to lengthen around the raw material and that's related to the pressure natural gas is putting on domestic industrial burners that typically uses oil as a industrial fuel. Now that natural gas is a cheap and clean, it's becoming the primary fuel source for industry where the recycled oil is now becoming more available. We do have to reach further out across the U.S. to find this oil and get it back to our TCEP operation in Baytown, but we've built a lot of new logistic systems, aggregation hubs to capture this raw material. And as we reach new volume, we've continued to expand our production capacity in Baytown to take advantage of that raw material and the pricing of that raw material. So we still see a lot of wind in the sail as far as the industry goes and available product to process and capture additional value as TCEP converts that material to a higher value commodity product. 
Sean Marconi: And the current production at the TCEP plant in Baytown is currently at how many barrels a month? 
Benjamin Cowart: Well, it is still varying a little bit. We're certainly over the last 11 -- 10 or 11 months, we're in excess of the original design -- engineering design of the plant. But I will say, in March, we had our record production month. We were at 62,000 barrels of raw material processed. So we were extremely pleased with March's results and the way the plant performed and that's -- obviously, that's a whole nother picture for the company going forward, assuming we can nail that new capacity and hold it in place. 
Sean Marconi: And what -- with the new operation -- operating improvements that you're making to the plant, what do you see the TCEP plant being able to handle down the road in terms of volume? Is it 80,000 barrels? 90,000? Is 60,000 pushing its limits right now? I really like the strategy of building the plant and then really getting out all the tweaks and improving the efficiency as much as possible before you build your next plant. I think that's a very smart move on your behalf. And I'm just trying to get a better gauge on -- is the demand there for the feedstock? I'm just trying to get a better idea of what we're looking for in the future? 
Benjamin Cowart: Yes, I think I can speak, one, to the market for the product and we've been meeting with our buyers and gauging their interest in what we see demand long-term and we believe that's very strong. We certainly see a market for at least 90,000 barrels of finished product, assuming we can produce that volume. We believe that to reach that kind of capacity, from a production standpoint, is attainable at our facility with additional capital improvements. I wouldn't say incremental capital, but it certainly wouldn't be greenfield-type capital investments, so that's 2 of the 3. The third leg of that decision is available feedstock at the right price and how far we have to reach to feed that additional capacity. So we are constantly pushing on the raw material side of the business and you can see, we've had good success with the year-over-year growth. We did sacrifice about 7% of our gross profit per barrel margin, which I believe, was a very good trade-off considering the additional gross profit dollars that we were able to obtain. So I do believe there's more runway, more track for us to continue down, and I'm very comfortable that we'll continue growing our capacity because of what we're seeing in the market as far as the feedstock availability. So we're moving as quickly as we can. So, in addition, we're still growing our volume outside of TCEP in our Baytown facility and placing those barrels into other refineries and we have, this quarter, actually had a fair amount of oil go into the export market, which is incremental margin for the company. But it's -- it gives us more feed security as we look at building additional plants in underdressed markets. So a lot of good thing ahead of us. 
Sean Marconi: And just to verify, do you guys -- you guys have a pretty strong cash position over $4 million right now, do you see yourself having to raise additional capital to get this related party transaction completed? 
Benjamin Cowart: Well, it's -- I don't think that decision has been made as we look down the road. We do have the S1 that we have filed with the SEC that would raise some capital, but there's multiple opportunities that we're looking at to grow the company and so, it's -- Chris can better answer the question. I think we're still determining how we use the cash and the resources that we currently have in the company first. 
Christopher Carlson: Yes, that's right. 
Operator: Our next question comes from Jeremy Hellman with Avenue T Fund. 
Jeremy Hellman: Question, is actually a follow-up on the first caller's question regarding the preferred -- I know you guys said it converts 1:1. What price do those preferred holders own their shares -- at what price do they own their shares, is it $0.50? $1? $1.50? 
Benjamin Cowart: That's really hard to say. Since it came through a reversed merger process, we don't have all of the detail on -- when those investors came into the company and at what price level. 
Jeremy Hellman: If you have the conjecture then, would you say it's substantively lower than the current share price? 
Benjamin Cowart: No, if I have to guess, it's higher than the current price. 
Jeremy Hellman: And then second one, and I know it's more of just an open comment from me rather than a question because I understand, yes, the related party transaction is still under review and everything, but it's more just a request from a shareholder to your board of directors and the committee that's evaluating this, that the sooner you get that wrapped up, the better, I think. Beyond the preferred shares coming into the market, the uncertainty with respect to that transaction is also maybe something that's putting a little bit of a lid on the stock because for the earnings that you guys have, once those 2 things have been cleared from the deck, I think that these shares are deeply undervalued. So the sooner we get to clearing those, the better. That's just my comment to the board. 
Operator: Our next question comes from Lloyd Quartin with Unique Investments. 
Lloyd Quartin: To answer that gentleman's question, I was an original Waste investor and $25,000 investment converted to about 3,000 shares. So that would make -- to breakeven, you would have to see Vertex at around $8. I don't know if there any types of stock that were issued, but I was an original investor in Waste. Also, one of the questions I have is certainly the future potential growth of your company might involve, certainly when you open up a new facility and increase revenues, et cetera. Do you have any kind of timeframe, ballpark, as to when you might open it or what part of the country, and what the cost basis might be, by then? 
Benjamin Cowart: Well, Lloyd, I think it's early for us to lay out other locations and certainly put something out there at this point in time. I can tell you that the engineering cost to replicate the technology, the process unit itself, is estimated around $5.5 million. So we don't believe that this is a major capital cost infrastructure for the plant, would vary dependent on location. We do have concentrated volumes that are a good distance from our Baytown facility and we're looking at how to better monetize those volumes than what we're doing today. And so we're analyzing the potential of the second process or second location, but it’s -- a lot of details that are still underway that we're trying to sort out. 
Operator: There are no further at this time. I'll turn the conference back to management for closing remarks. Thank you. 
Benjamin Cowart: Okay. Thank you, operator, and thank you those who have called in. We look forward to updating you on developments while the company -- on the company as we unfold our operations and our performance over the rest of this year. We appreciate you joining in on the call, and we look forward to hearing from you guys offline if you have any further questions. 
Operator: Thank you. This concludes today's conference. All parties may disconnect. Have a great day.